Operator: Good morning, and welcome to The Mosaic Company's Third Quarter 2025 Earnings Conference Call. [Operator Instructions] And now I'll turn the call over to Jason Tremblay. Please go ahead.
Jason Tremblay: Thank you, and welcome to our third quarter 2025 earnings call. Opening comments will be provided by Bruce Bodine, President and Chief Executive Officer; Jenny Wang, Executive Vice President, Commercial, will then cover the market update; and Luciano Siani Pires, Executive Vice President and Chief Financial Officer, will review financial results and capital allocation progress. We will then open the floor for questions. We will be making forward-looking statements during this conference call. The statements include, but are not limited to statements about future financial and operating results. They are based on management's beliefs and expectations as of today's date and are subject to significant risks and uncertainties. Actual results may differ materially from projected results. Factors that could cause actual results to differ materially from those in the forward-looking statements are included in our press release published yesterday and in our reports filed with the Securities and Exchange Commission. We will also be presenting certain non-GAAP financial measures. Our press release and performance data also contain important information on these non-GAAP measures. Now I'd like to turn the call over to Bruce.
Bruce Bodine: Good morning. Thank you for joining our call. Mosaic's third quarter results reflect the resilience and strength of our global business as well as the extraordinary work our teams are delivering to help us operate effectively in a highly dynamic market and geopolitical environment. We've demonstrated the ability to shift tonnes to regions with the strongest demand and capture value across agricultural and industrial markets, and we are navigating near-term fertilizer affordability issues while looking ahead to positive structural market trends. We remain focused on achieving reliable and consistent production from our assets, leveraging our market access advantage and executing our capital reallocation strategy, all in the service of creating shareholder value. Let me begin with our key messages for the quarter. First, we've made major investments in asset health, and we are seeing improving reliability. U.S. phosphate production has improved sequentially throughout the year and we remain focused on driving consistent performance across our phosphate assets. Second, our business in Brazil continues to deliver excellent performance. Adjusted EBITDA increased year-over-year, and we are managing well despite a challenging credit environment. Third, global potash demand remains very strong, especially in the Eastern Hemisphere, and we are running near record operating rates to meet that demand and capture value. Fourth, cost discipline remains a priority. We've achieved $150 million in initial cost savings and are on track to achieve our revised $250 million cost savings target by the end of 2026, driven by automation, supply chain optimization and improved fixed cost absorption as production increases. And finally, we remain committed to disciplined capital allocation. Recent divestments, including the Taquari potash mine and the Patos de Minas asset reflect our commitment to streamlining the portfolio and redeploying capital toward higher return opportunities. To cover our third quarter results, net income for the third quarter increased to $411 million versus $122 million in the prior year. While adjusted EBITDA in the third quarter rose to $806 million from $448 million a year ago, driven by higher prices across all segments and very strong performance in Mosaic Fertilizantes. Let's look briefly at market dynamics. I'll leave the details to Jenny. Phosphate markets remain tight as global supply constraints persist. Key long-term drivers remain intact, including continued growth in LFP battery demand, rising domestic fertilizer demand in China which is likely to further erode exports and limited new capacity additions over the next few years. Despite coming off recent highs, phosphate prices remain elevated and affordability pressure remains a concern. We've seen growers in the U.S. and Brazil cautiously approach seasonal buying, which has moderated prices and impacted the timing of sales volumes. The challenging farm credit situation in Brazil continues to exacerbate this trend. In India, strong shipments in 2025 have largely recovered back closer to historical norms, but we still see a need for substantial replenishment after multiple years of tight supply and under application. Potash markets are balanced as good affordability drives demand around the world, particularly in China and Southeast Asia. Potash and phosphate demand should benefit from the strong yields U.S. and Brazilian farmers have generated this year. We expect big crops in North America and Brazil to remove an additional 1.5 million tonnes of potash and similar amount of phosphate from the soil compared to last year. Growers will need to replenish these nutrients to avoid lower yields next year. For Mosaic, the focus on U.S. phosphate asset health is allowing us to run more reliably and at increased rates. We have experienced 3 consecutive quarters of production volumes improvement, and volumes for the trailing 3-month period ending October have reached approximately 1.8 million tonnes, which is further improved from the third quarter. We remain committed to return to previously achieved normalized production rates. Our focus now is on consistent and sustainable performance. In potash, we completed the Esterhazy turnaround in the second quarter, and the new HydroFloat system is delivering incremental tonnes. The resilience of our Brazil business demonstrates our effective commercial strategy and disciplined risk management, including a focus on sales to customers with strong credit profiles. Our team's deep local expertise and long-standing presence in Brazil have been instrumental in navigating market complexities and maintaining profitable growth. While we expect the usual seasonally slower fourth quarter, we expect earnings in this year's fourth quarter to be higher than a year ago. Cost initiatives are progressing across the company. Mosaic Fertilizantes continues to generate cost reductions and selling, general and administrative expenses declined year-over-year in the third quarter without the impact of the bad debt expense. We continue to leverage our market access, which is a key strategic advantage for Mosaic to accelerate growth in Mosaic Biosciences. Revenues for the first 9 months more than doubled year-over-year. We anticipate Mosaic Biosciences will contribute positively to consolidated adjusted EBITDA beginning in the fourth quarter. In addition to strong growth in the Americas, the market for biologicals is growing quickly in China, and we expect India to follow. All in all, we are well positioned for a strong finish to 2025 and a promising 2026 and beyond. Now I'll turn the call over to Jenny for more detail on agriculture and fertilizer markets.
Jenny Wang: Thank you, Bruce. We continue to navigate a very dynamic global agriculture environment. Commodity values and trade uncertainty have impacted near-term sentiment in North America, but the recent recovery of corn soybean prices should encourage more fertilizer activity, particularly with China now looking to purchase U.S. soybeans and wheat. Any additional direct government help to farmers could provide further support to the market. In Brazil, growers have had to navigate tighter credit availability and higher interest rate, but have benefited from expanded trade opportunities, particularly with China. Brazilian fertilizer demand is still growing this year and will likely expand again next year as growers replenish soils and expand acreage for upcoming seasons. Our customers remain engaged and are actively buying fertilizers for the upcoming safrinha core and the 2026 Safra soybean. Ag economics remain more constructive in other parts of the world, and Mosaic has pivoted to active markets. Longer term, we continue to see ag fundamentals as supportive to fertilizer demand, driven by growing demand on food, feed and fuel, which we have seen supportive biofuel legislation around globe. Moving to the fertilizer market. On phosphate, markets have been very constructive for March of 2025, given robust demand for nutrients, which in turn has supported prices. Prices of phosphate have moderated from recent peaks, but remain elevated, driven by tight global supplies and strong demand. Stripping margins also remain above historical norms. Chinese export of DAP, MAP and TSP are expected to decrease more than 1.5 million tonnes this year, and China has recently pulled back phosphate export approvals. Like Bruce mentioned, LFP battery demand has continued its growth. In the first 3 quarters, Chinese LFP production has already surpassed the full year production in 2024 and representing over 40% year-over-year growth. While Chinese demand for fertilizer and the industrial phosphate continues to grow, we see limited new capacity expansion in other regions over the medium term. In the case of potash, markets are balanced after a first half supply deficit. Global demand has been steady and expected to approach another record as affordability has encouraged strong Chinese consumption, healthy Brazilian import and the growing Southeast Asian demand, which is tracking up to 50% higher input in some of the key countries. Given this persistent global appetite, we expect record Canpotex shipments this year and the further strength heading into 2026. North American potash demand has held relatively consistent this year on healthy affordability and fall application tonnes are moving to the ground as we speak. However, given potash is often applied with phosphate, we may see some modest fall deferral into Q1. In summary, we are optimistic heading into 2026 as growers look to replenish soils and fulfill any pent-up demand. Long-term food security and the industrial use continue to support a constructive outlook for phosphate markets, particularly absent any significant capacity additions. Potash markets are stable on balanced fundamentals, and we expect demand growth to reach to a new record.
Bruce Bodine: Thank you, Jenny. Let us take a deeper dive into our performance. You will remember that Q2 EBITDA came below expectations due to a number of larger than usual provisions, inventory adjustments, environmental reserves, legal reserves, and also due to a sharp increase in turnaround expenses. We said these effects were going to reverse in Q3, and they did. Q3 was more of a clean quarter, minimal onetime items and a reversal of turnaround expenses from USD 144 million in Q2 to $85 million in Q3. You should expect idle and turnaround expenses to remain at normal levels in Q4. Despite being a clean quarter, Q3 EBITDA was impacted by lower sales volumes, which reflect a shortfall in phosphate production and an intentional slowdown of sales from Fertilizantes given the credit challenges in Brazil. Let's address phosphates. On the revenue side, for Q4, we expect phosphate sales to be between 1.7 million to 1.9 million tonnes with risk to the downside due to demand referral. On the cost side, you saw the significant decline in idle and turnaround expenses from $84 million in Q2 to $42 million in Q3 as expected. But we still had a lot of repair work mostly in July, recording into cash conversion costs, which were at $131 per tonne, which is about the same level of $126 per tonne in the second quarter. The next step is to have a meaningful decline of cash conversion costs in the fourth quarter, given that the asset health and repair work will be normalized and also due to our expectation of higher production and fixed cost absorption. So for phosphates in Q4, higher sales volumes, historically elevated stripping margins and anticipated lower conversion costs should support results. In Potash, cash production cost per tonne of $71 was down from $75 from Q2 as production volume increased. We expect the fourth quarter unit costs to be similar to Q3 and finish the year at low to mid-70s. If you recall, we guided 2025 unit production costs in the $64 to $69 range on Investor Day earlier this year. Since then, we kept operating at higher cost Colonsay mine for longer than expected and the Canadian dollar has strengthened against the U.S. dollar. If we adjust the Investor Day targets to reflect the current exchange rate, our full year forecast would be on track to hit the targets. Potash continues to be a very stable business in terms of production volumes, costs and capital intensity. Fertilizantes, our results were driven by 2 opposing forces. On one hand, strong underlying business performance, but on the other hand, a softening market in the near term. EBITDA came in at USD 241 million, above the $200 million that we have guided even after we strip out the $27 million recovery of the bad debt recorded in Q2. That performance was achieved despite distribution margins at about $20 per tonne, which is, again, below our targeted $30 to $40 range as we had to make margin concessions because of the weakening market. The new level of EBITDA generation of Fertilizantes is a testament to the strong cost performance of the business in 2025 despite the strengthening of the Brazilian real. What do you expect for Q4? Well, we expect an important drop in EBITDA due to a number of factors. Lower prices, still compressed distribution margins, normal for the season, but still compressed, higher raw materials costs, seasonally lower overall sales volumes and product mix. These uncertainties in volumes, prices and margins are very high in the quarter. So EBITDA could be in a wide range. But in any scenario, we still expect it to be above the same quarter prior year. Thanks to the sustained cost improvements. A few words on cash flows. Cash flow from operations was only USD 229 million for the third quarter because of over $400 million increase in working capital driven by several factors: higher physical inventories of the end products in North America and Brazil due to the slowdown in sales at the end of the quarter, higher prices for such inventories and for raw materials, and the buildup of inventory of phosphate rock to support future production plans. We expect these effects to partially reverse in Q4, supporting cash flows. But even with that reversal in Q4, if you look at the full year, and we have a slide in the deck for that, working capital will continue to post a large increase. And therefore, 2025 cash flows will be well below what is intrinsic to the business. In 2026, with raw materials prices stabilizing, phosphate rock inventories being consumed by higher production and the adjustment in inventories in Brazil and North America, cash flow from operations and free cash flow is expected to improve significantly. Therefore, we're prudently deferring any extraordinary dividends or buybacks to 2026. Finally, a note on noncore asset sales and capital reallocation. You saw Mosaic announcing the completion of the Taquari transaction yesterday. We sold this potash mine in Brazil for USD 27 million. But the transaction is also expected to eliminate capital investments exceeding USD 20 million in the short term. We will avoid significant capital investments to extend life of mine beyond 2030 in the medium term, and we will transfer asset retirement obligations of USD 22 million. So a lot of capital that is not going to be deployed anymore in this asset. Mosaic also announced the closing of the sales of Patos de Minas idle phosphate mine early October with proceeds of $111 million with $51 million already received. The rest will be collected over 4 years. We have many assets under review and several strategic talks ongoing, and we expect 2026 to be a year when capital reallocation will gather steam. So in conclusion, we are highly confident in our ability to finish the year on a high note, and we encourage you shareholders to focus on the strong momentum we expect to enter in 2026. With that, operator, please open the line for questions.
Operator: [Operator Instructions] And the first question will come from Chris Parkinson with Wolfe Research.
Christopher Parkinson: Just given, obviously, you've been on a pretty long-term fixing of the turnaround schedule across the 4 primary facilities. Can we just get an update on after the issues in late September, how you performed in October versus expectations, how you're thinking about initial November? And just what's your degree of confidence that you should be within that 4Q production guide? And how we should think about the cadence of such given the outlines that you projected at the CMD back in March, how we should be thinking about the confidence level as it relates to 2026?
Bruce Bodine: Chris, thanks for your question. First off, we're committed to achieving our normalized production rates that we've been talking about. We did have those issues that we had a press release out in September, those are behind us. But I think as I've reflected on this, things are taking a little longer than anticipated. As we did, as you pointed out, get to our normalized turnaround schedule, which was the big issue for us was to do that first. And as we remove that macro asset health issue, it shined a light on some other issues, mostly that for me, and this is my terminology, that we kind of lost some muscle memory, and I'll give you some examples. Since we haven't run at these rates for 5-ish years, we've kind of stumbled on just starting back up out of normal repair days, stumbled on making product shifts. So now that asset health on the big unit operations are not the issue anymore, it's really with high turnover in our workforce over the last 5 years that institutional knowledge is a place that we've got to focus. The good news is that we are seeing full rates a lot of the time. And in fact, at times even over full rates. We just need to lock in on more consistency and then sustain that for longer periods of time. But as I reflect for me in the past 18 months, to your point, we've made significant progress and sulfuric acid plant turnarounds were accelerated to kind of eliminate that really macro asset health issue. But during that time, we advanced several improvement projects in potash and granulation and more importantly, some of our critical support facilities around water and electrical infrastructure. All in all, we've invested an additional $100 million in CapEx and an additional $100 million this year in maintenance expense that are above and beyond just kind of normal for these operational enhancements and asset health improvements. In addition to that, to leave no stone unturned, we have brought on board some external consultants to make sure that we are leveraging everything we can do to get back to those rates. So as you pointed out, all the work has led to 3 consecutive quarters of sequential improvements. And with those consistent gains, as we reported in the earnings presentation, the trailing 3-month period ending in October is at that 1.8 million tonnes, which is in the middle of our guidance range. So we are changing our guidance philosophy a little bit, and I think that's important is that we're going to base guidance on the forward quarter based on kind of how we have proven in the past months. And so that trailing 3-month was critical for us to set kind of that guidance range of 1.7 million tonnes to 1.9 million tonnes phosphate because we were actually at that 1.8 million tonnes rate right now. But looking ahead, we're going to continue to focus, Chris, on our processes and instilling operational discipline across the organization. We've got work ongoing and a lot of emphasis on strengthening our institutional knowledge at the front line. And then we've got a lot of work also on further leveraging technology across our ops and maintenance teams to put better data and decision-making at their fingertips. So we're optimistic and very excited about what the future is bringing. It's just a little unfortunate, it's taking longer to get there. But where we are right now, we feel very comfortable and confident achieving the guidance range that we've set forward.
Operator: Next question will come from Joel Jackson with BMO Capital Markets.
Joel Jackson: If I could follow up on your answer to Chris' question. Can you maybe Bruce dive into what is the difference between a good day and a bad day? So good days says you're at full rates or better; a bad day, you're not there. Is it a certain asset? Is it a certain thing going on? Can you elaborate good day and a bad day versus your targets?
Bruce Bodine: Yes. Thanks, Joel. A good day, bad day is very nuanced, as you can well imagine. And it depends on the facility in the suite. But right now, bad days are not where something is catastrophically failing prematurely or that we're holding it together until we can get to a turnaround. Those are not the structural issues. Today, the difference between good and bad is did we actually run without an upset more from operational decision-making at the front line in phos acid, particularly ore granulation. So again, a perfect example would be, hey, we have to switch from map to MicroEssentials product at -- it doesn't matter what facility, facility X. The quality wasn't immediate at that start-up as quickly as it should be. We lost product from that standpoint or we had to actually shut down kind of [ reseat ] granulator as an example. So it's more of those institutional operating practices that really right now are separating good from bad. It's not structural asset health. It's more on operational practice and just -- and then delivering on that consistency. So every time we switch or start up from a repair day, which happened frequently within the month, that's just normal ops and maintenance practices is that getting up to that full rate quickly, add quality performance and then sustaining it until the next cycle for repair or product switch. Hopefully, that provides some color that it's no longer structural asset health as the big issue. It's more operational knowledge, institutional knowledge and consistency of delivering on that day in and day out at these high rates.
Operator: The next question will come from Andrew Wong with RBC Capital Markets.
Andrew Wong: So maybe can I just clarify on the expected phosphate run rate? Is that now 1.8 million tonnes? Or is that just for the very near-term upcoming quarter and then there's longer-term upside to that, like more on a normalized basis as some of that institutional knowledge comes back and you're able to work on those processes? And then just on phosphate margins, can you just think -- help us think about all the different moving pieces as we kind of get into Q4 versus Q3? Because obviously, there's lot of changes on prices and input costs and asset health. But as production goes up, that should also help with fixed cost per tonne. So can you just help us understand that?
Bruce Bodine: Yes. As I said, Andrew, our guidance philosophy has switched to more proven. But at the end of the day, we're committed to get back to full rates. There's no question about that. So there's no wavering on that. It's just rather than guide to the promise we're going to guide to actually what's delivered and then the upside is there as we achieve all those gaps that you just mentioned that we talked about in the last 2 questions as well. So yes, to your point on cost, fixed cost absorption is the biggest thing. And we're not seeing any more unusual expenses in the script. Luciano talked about the higher cost of putting in these new gyp handling systems at New Wales. Those things are behind us from an expense standpoint. So normalized turnaround costs, normalized maintenance costs, labor and all those things being fixed with the higher cost of production as we go from what we've demonstrated now 1.8 million tonnes towards that 2 million tonnes, all are going to go to the bottom line, fixed cost absorption. Luciano, you got more to say?
Luciano Pires: Yes. Andrew, we posted $131 per tonne of conversion cash costs. But if you look August and September, the number was actually a little under $120. And the rule of thumb is for every 100,000 tonnes additional in the quarter, you should see about $7 per tonne reduction. So if we were to post 2 million tonnes in a single quarter, which is our long-term aspiration, that sub-$120 would be somehow between $100 and $105, which is still kind of $5 above our Investor Day targets. So we still have maybe $5 of extraordinary small repair work that we need to shave, but that gives you kind of a ballpark thinking about how the costs should progress. In addition, I would like to call attention to the operational leverage in phosphates. So because most of the costs are fixed, the marginal tonne earns way more than the average tonne, which means that, for example, if you were to increase production by 25%, so for example, coming from 6.4 million tonnes to an 8 million tonnes rate, theoretically, EBITDA could improve by more than 50%, and the impact on cash flows would even be even more magnified. So that is something to bear in mind that the results of phosphates are very, very leveraged to volumes.
Operator: Your next question will come from Lucas Beaumont with UBS.
Lucas Beaumont: I just wanted to touch on the cash flow again. So I mean the operating cash flow to EBITDA conversion this year has been about 45%. Typically, your long-run range is in sort of the 80s. So I just wanted to kind of -- you talked about it improving next year, but I just wanted to get your thoughts on where you think that conversion should go? And then just secondly, sort of you guys have also sort of talked about trying to get OpEx down after fixing the production issues. But I mean, this year is kind of tracking towards sort of that $1.3 billion, which is pretty much in line with where it's been in the past kind of 7 years. So just how much scope do you think there is to kind of help free cash flow into next year on that side as well.
Bruce Bodine: Yes, Lucas, thanks. I'll just start and then turn it over to Luciano, he's got a lot to say about this issue particularly. But yes, cash flow is a little weaker than we wanted or anticipated for the quarter, mostly because of the kind of slowdown in sales in the Americas, which caused a little bit of a build in inventory and then the higher pricing in inventory and our buildup of rock inventory, particularly in North America for phosphates anticipated higher production kind of added some of that cash into inventory, but that will revert as production starts to materialize and sales start to move into spring season. So feel good about that, and they will improve on the cash conversion. But go ahead, Luciano, maybe you want to talk about that.
Luciano Pires: Yes. So Lucas, you're probably referring to an annual cash conversion rate. And I understand you're referring to the conversion between EBITDA and operating cash flow, which, yes, this year should be in the year at around 50%. You referenced 45%, like maybe a little more than that with the recovery in the fourth quarter. But that's because inventories and working capital are kind of taking up about 20% of that EBITDA in the year. So if you were to adjust for working capital/inventory changes, it would be at a level of around 70%, which we believe is kind of the industry norm, like we see some competitors around that level as well. And which means that looking forward to '26, we actually have an expectation of a wind down and a positive contribution of working capital. So we may be in '26 above the 70%, maybe who knows close to 80%. But that's before CapEx, as you pointed out. It happens that capital expenditures this year are also close to 50% of EBITDA. So your net cash conversion of 50% with CapEx running at 50%, you're basically at a free cash flow for '25, which is very close to zero. But again, in 2026, with the -- an improvement in EBITDA with higher volumes and the cash conversion going more above 70% towards 80%, it is possible that you're going to have like a free cash flow to conversion rate of 25% to 30%. So that's the situation in the short term. Over the long term, we see already a positive trend in reduction of ARO and legal and environmental reserves. This is one line that we've been spending around $400 million this year, and we expect next year to be the first of a long-term trend of decline. So this is a tailwind to cash flows. But in terms of CapEx, we have this long-term view of reducing capital expenditures. We're exactly now in our budgeting process. We're seeing what's going to be the rate for next year, and we will inform you appropriately once we make our decisions. But the good remark would be like asset retirement obligations, environmental reserves, or the reclamation work is already showing declines in cash outflows.
Operator: Next question will come from Matthew DeYoe with Bank of America.
Matthew DeYoe: If I'm just looking at ore grades at the mine site, particularly in Florida and the degradation, is it like realistic to hit 2 million tonnes per quarter for phosphate? And I say because I assume with like higher throughput, it means you're probably driving up asset where you're probably burning out pumps more quickly, and that probably plays into just uptime in general. So can you manage these issues? Has that already been handled and that's really not the issue anymore? Is that a nonfactor? How does that just in general play into this?
Bruce Bodine: Yes. Thanks, Matthew. Ore -- the chemistry of the ore is not really a concern for us. Yes, on the margins, you're right. Where that played out this year was particularly at New Wales when we needed to upgrade the gypsum handling system because we did have more waste generated per tonne of feed and hadn't tested those systems in the last, say, 5, 6 years at these higher rates. But P2O5 quality, the chemistry of the ore, definitely not a concern about hitting those rates. It does limit catch-up capacity. So it forces us to be that much more precise on operating discipline to your point. But from a rock quality standpoint, it's more the geology drives some of the issues on cost for mined rock, particularly in Florida. And those things come down to stripping ratio, how much overburden do you have to remove, what's your pumping distance, things like that, that may affect cost that goes into total profitability on finished product. But those are pretty stable as well. So ore grade, the chemistry of it is not the biggest concern. Even though it does create challenges, we just have to be very consistent and more disciplined on being better operators as we were processing that.
Luciano Pires: Maybe, Bruce, to your point, in order to reduce the risks, we actually are building up rock inventories this year as well. So there's ample buffer to absorb any variations. And indeed, back to the cash flow conversation, about $160 million of increase in working capital this year comes from rock inventory that we are preparing to fire in all cylinders when we can in the concentration plants.
Operator: Your next question will come from Jordan Lee with Goldman Sachs.
Suk Lee: Regarding the fourth quarter phosphate sales volume guide, I wanted to clarify whether the potential demand deferral that you called out is reflected in that range? Or would it be lower if that occurs? And could you maybe try to size that potential impact?
Bruce Bodine: Yes. Let me start, Jordan. Appreciate that. Our guidance is really based on production at this point. We did mention in the commentary that any deferral could be risk. And let me just turn it over to Jenny to kind of talk about what that is, it looks like.
Jenny Wang: Sure. So I'd like to start to talk about overall of North America phosphate shipment this year. I know there have been a lot of discussions on demand change. I want to remind ourselves that the import to the U.S. market to North America market year-to-date October has reduced by 1.1 million tonnes, which is 36% of reduction. And if there's no more import into this country by end of the year, the total import reduction will be 1.3 million tonnes. So meaning the shipment or demand in North America, likely going to be impacted by supply. So that's a fact. And I also want to remind ourselves, spring application were very normal in terms of the shipment and the summer field subscription that we have seen very strong. And at this moment, the fall applications are very well underway. Now understand the customers' cautiousness in getting into the winter fill period, given the farmers' economic situation and uncertainties related to the government payment, we've been cautious on potential deferral of phosphate application into -- from Q4, from December, basically into Q1. That deferral possibility could be depending on several factors. We would say if the government payment, which is likely going to come out, we just don't know when, and we don't know how much, that will impact the customer's decision on when they want to step in for winter fill. The second factor is weather condition. In the normal November, December, if the weather is dry and warm and farmers tend to get out to get fertilizers on the ground before the winter weather really impacts them. So these 2 major factors we're watching very closely, so as our customers. And they are going to say whether the tonnes are going to go -- going to get purchased in November, December or pushed back into Q1 next year. So in summary, for phosphate, I want to call out, the potential deferral is depending on these 2 factors. The demand impact has been driven by supply, meaning import, reduced import. Potash is a very different story. The affordability itself isn't really an issue. We are cautious on the potential deferral just because of some of the customers and farmers when they apply potash in North America, they go together with phosphate. So if there was a deferral, some part of the potash application could be deferred into Q1 as well. I would end to say with a very big harvest that we are seeing in North America and also for a fact in Brazil as well, there are significant removal of nutrients for phosphate and potash. This additional removal of phosphate and potash from soil need to be replenished into the soil in order to not impact productivity and yield for next year. The farmers in the U.S., in Canada and in Brazil, they know that. So I'll end with that.
Operator: Your next question will come from Ben Theurer with Barclays.
Benjamin Theurer: I wanted to come back to Fertilizantes. I mean I remember about a year ago at the Investor Day, you've talked about it how you want to bring this business into a level of somewhere north of $100 million, like $120 million, $130 million, I think, was target on a quarterly basis. And you've been on a nice track as it relates to the delivery in Q1, Q2 and then significantly surpassed Q3. So maybe explain us a little bit more what drives your expectation for the fourth quarter so much down, particularly considering that this is actually a relatively important quarter in Brazil. So help us understand what is taking it back to square one so to speak? And then how should we think about it as we look into 2026?
Bruce Bodine: Yes. Thanks, Ben. I think we may disagree that it's not going back to square one, as I think we put in our earnings material kind of a comparison to last year. But we do believe that fourth quarter this year will be significantly better than last year. But the credit situation in Brazil is definitely driving some risks in buying in Brazil, particularly for small farmers. So that is maybe more of it. And then quarter 4, historically, and that's why you see is a lower distribution margin quarter based on product mix, the products that we sell, more nitrogen products, less phosphate products for the growing season. So that is an impact as well. But north of $100 million and we said approximately $100 million is actually -- we feel not a bad quarter given the backdrop of what's going on in that business. And when you average all that out quarter by quarter, I think we would expect north of $100 million, would you say, $120 million of EBITDA on a quarterly basis. But you're going to see seasonality in first quarter and fourth quarter as they are always our lowest quarters based on mostly product mix in Brazil. But Jenny, do you want to add anything? Luciano, go ahead.
Luciano Pires: Most of the decline is going to be driven by the production business in Brazil because of product mix that was mentioned. And so because the Brazilian market these days have been purchasing way more low analysis products, SSP, for example, even through imports. And because part of our production in Brazil is of higher value products, we're kind of baking in the forecast lower sales, especially of these higher-margin products. So that's affecting a lot. So we're making around $70 million of decline in the results of the production side of it. The other thing, which is seasonal, just to remind, is the co-products. So we -- third quarter is kind of a peak season for sales of co-products. They should about decline by another like USD 20-something million, just the co-products sales. And again, we won't have the tailwind of the bad debt recovery. So when you bake all of this and admittedly with a little bit of a hedge to see how the sale of the higher-margin products are going to behave, that's why we're being a little more cautious on the guidance.
Operator: Your next question will come from Edlain Rodriguez with Mizuho.
Edlain Rodriguez: This is for Bruce or even Jenny. So given all the puts and takes in the ag market right now, crop prices, inventory levels, supply/demand and so forth, in your view, like what drives fertilizer prices higher in the near term?
Bruce Bodine: Yes, Edlain, thanks. I'm going to actually -- let me just start and then turn it over to Jenny because she's got some data points on what's happening in various geographies. But I think it comes down to the macros, Edlain. And I know you're focused on, maybe part of your question is, how do you separate that from ag fundamentals and maybe ag farmer affordability, but on the 2 commodities that we make, the S&Ds for fertilizer, as Jenny did say in phosphate, supply is constrained. They just -- the prices have to come up in order to make demand meet the supply, right? And until something fundamentally changes there, and in phosphate, particularly, as I said in the opening script, with China's demand continuing to grow, not only for ag inputs, but also on LFP industrial, less Chinese phosphate is going to actually be exported. And I know Jenny is going to talk a little bit maybe about what is coming out on further restrictions potentially, but without new supply of significance coming on, fundamentally changing the fertilizer supply and demand, it's just not happening on the supply side. So we actually see demand continuing to be constrained in the near term because of lack of supply. And that likely is not going to change in our forecast anyways of significance for quite some time. And the first time, you might start to see a little bit more supply coming, 2028, I think, Jenny, as OCP starts to ramp up some of their announced increases as well as Ma'aden. So that's phosphate. And on potash, it's not a heck of a lot different. It's a very constructive supply and demand. And it's that S&D that we see driving fertilizer prices on each of those 2 sides, the potash and the phosphate. So with the first half of this year and the former FSU kind of down, supply was tight. Prices picked up. We didn't see as much come out of Laos this year. So FSU was down. China, Chile were down this year from a supply standpoint. But China's appetite continues to grow on potash as well. So again, you get down to the puts and takes. And Southeast Asia was a huge consumer this year of potash, keeping things tight. So the S&D is very constructive. Again, don't see that dramatically changing in 2026. In fact, continuing more of the same as BHP has pushed out their start-up. We do see a little bit of tonnes coming out of Laos additional, a little bit out of EuroChem and maybe BPC with Nezhinsky project near the tail end of this year. But demand, we can see continuing to grow to suck up that supply. So things stay very constructive on the S&D for fertilizer. Jenny, I turn it over to you as I've maybe covered some of your stuff, but go ahead.
Jenny Wang: I probably want to add some data points. Firstly, when we talk about ag economics and farm economics, we tend to only focus in U.S. and Brazil. I would say the ag economics are very variable across the globe. Well, it is pressured in Americas. We have seen much more favorable conditions in the rest of the world. And if you look into the major ag market, China and India are very supportive from the government policies. So ag economics are not really a challenge. Therefore, we have seen very big growth -- significant growth on the consumptions of potash in both markets and also phosphate. So that's a reminder and let alone some of the other markets in Asia due to different crop dynamics, right? The other data -- very quick data point on phosphate. Chinese exports of phosphate is likely going to continuously to be restricted. This year, year-to-date, already we've seen reduced -- reduction of 18% over 1 million tonnes. For the rest of the year, we are going to see very little exports out of China. So the full year, we are going to see over 1.5 million tonnes reduction. So that hold, there's nobody this year on phosphate supply is able to put in. So the market for phosphate is really demand is constrained by supply. Looking into 2026, the economics are really supportive for further demand growth. But again, that is going to be depending on how much supply is going to be improved and partially it's coming from Mosaic ourselves. For potash, I think Bruce, you covered very well, very stable market. And the nutrient itself, affordability is very good. And that's the reason we see the growth across the board, and this is going to continue in 2026.
Operator: The next question will come from David Symonds with BNP Paribas.
David Symonds: Yes. Just one on sulfur, please. So -- or sort of phosphate inputs more generally. So Russia sulfur export ban seems to be pushing sulfur prices higher. There's some outages in ammonia, which are also pushing ammonia prices higher some. Just curious, obviously, the spot stripping margin that you showed in your presentation has come down to, I guess, more normalized levels. Is there a risk that, that goes further with very weak farmer economics, making it harder to pass through some of these prices in DAP? Do you see that sort of risk in the short term on stripping margins?
Bruce Bodine: Thanks, David. Good question, something we talk about a lot. We definitely do see stripping margins coming down because of exactly what you said on raw materials. Sulfur is -- we see some of these higher costs sticking into early next year, for sure. Ammonia, we do see that trending down in time as new capacity comes on. But in the short term, as you mentioned, certain restrictions have caused prices to increase. But stripping margins right now and particularly realized for Mosaic are still above historical norms. They have come down, but they're coming down from a 5-handle number to maybe low 4s or upper 3s potentially, but that is still very healthy stripping margins for phosphate based on history. So Jenny, maybe you want to comment a little bit more on what you're hearing on the raw material side.
Jenny Wang: Yes, sure. Some data point. Sulfur export out of Russia post the war has significantly reduced. So the recent attack of Ukrainian to refineries in Russia has, for sure, contributed to the tightness of the export of sulfur out of Russia. I would also say the overall sulfur being used on fertilizer production is over 50%. So if the price of phosphate is under pressure and that will have impact to the sulfur price as well. So I would say not only the sulfur price is not only driven by supply/demand itself, it will also be impacted by the demand from phosphate. If any pressure on the prices of phosphate that will eventually impact the sulfur prices as well. So that happened many times in history. It will just take a bit of time to work through the S&D dynamics between phosphate S&D and also sulfur S&D.
Operator: The next question will come from Kristen Owen with Oppenheimer.
Kristen Owen: Just wanted to revisit the critical minerals. I think the comment period for that ends this month. So just remind us, puts and takes on whether phosphate has any implication for you? What -- how we should think about the puts and takes on that being added to the list?
Bruce Bodine: Yes, Kristen, great question. We're active in Washington, not only ourselves, but through industry associations to advocating for that. And it seems that there is momentum to add it. I know even at some of the Senate hearings recently talking about that seems to indicate more momentum than not. What does it do for us? I think what we're hoping for is that it brings a spotlight to the criticality of that, obviously, being a critical mineral. But it keeps that education within government that we need streamlined regulatory frameworks, maybe less burden, quicker permitting times to bring things to market. That is probably where the biggest advantage is for us to make sure that at the end of the day, we keep good supply within North America for good pre-trade and competitiveness for farmers to maximize the food that they grow. And that's what we're interested in by adding phosphate to the critical minerals list.
Operator: Your next question will come from Vincent Andrews with Morgan Stanley.
Vincent Andrews: I just wanted to ask on the finished goods inventory. I think it's about 1.7 billion. How much of that is at the mine or one of your facilities versus perhaps on consignment with the customer?
Bruce Bodine: Yes, Vincent, thanks. Luciano, I'm just going to turn it over to him as he's got that handy here.
Luciano Pires: So I would say the inventories are mostly spread around the entire supply chain, right? So we have our warehouses in the Midwest. We have barges on the river. We have our finished good yards in our Florida facility. So there's -- it's ready to be moved and it's well positioned as soon as demand comes back to be sold.
Bruce Bodine: I think with that, we're going to close the call as we're at time. So thank you for your questions, everyone. To conclude our call, I'd like to reiterate a few of our key points. First, our work to improve phosphate asset reliability is definitely paying off, and we're seeing that day in and day out with phosphate production climbing as the year moves along. We intend to reach our targeted rates, and we intend to sustain our production at high levels once we get there. Our business in Brazil is performing very well despite the difficult credit environment. And Mosaic's potash business continues to deliver very strong results. We are producing at high rates to meet robust global demand. And we remain focused on our financial foundation. We're reducing costs and remaining committed to disciplined capital allocation. In all, Mosaic is in excellent position to deliver compelling returns through 2026 and beyond. So thank you for joining the call, and have a great and safe day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.